Operator: Good afternoon, and welcome to the conference call covering Harrow Health's Financial Results and Business Update for the Third Quarter 2020. On the call joining me today, I have Harrow's Chief Executive Officer, Mark L. Baum; and Harrow's Chief Financial Officer, Andrew Boll. My name is Karen and I will be your operator for today's call. Currently all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. By now you should have received a copy of the earnings press release. If you have not received a copy, please go to the Investor Relations page of the company's website at www.harrowinc.com. Before we begin today, let me remind you that the company's remarks include forward-looking statements within the meaning of federal securities laws. Forward-looking statements are subject to numerous risks and uncertainties, many of which are beyond Harrow Health's control including risks and uncertainties described from time to time in its SEC filings such as the risks and uncertainties related to the company's ability to make commercially available its compounded formulations and technologies and FDA approval of certain drug candidates in a timely manner or at all. For a list and description of those risks and uncertainties, please see the Risk Factors section of the company's most recent annual report on Form 10-K and subsequent quarterly reports on Form 10-Q filed with the Securities and Exchange Commission. Harrow Health's results may differ materially from those projected. Harrow disclaims any intention or obligation to update or revise any financial projections or forward-looking statements whether because of new information, future events or otherwise. This conference call contains time-sensitive information and is accurate only as of today. Additionally, Harrow will refer to non-GAAP financial metrics, specifically adjusted EBITDA and/or adjusted earnings. A reconciliation of any non-GAAP measures with the most directly comparable GAAP measures is included in the company's letter to stockholders available on the website. With that, I'd like to turn the call over to Mark Baum to go over some prepared remarks prior to the question-and-answer session. Mark?
Mark Baum: Thanks for joining our call today. I would encourage everyone listening to review our third quarter 2020 letter to stockholders, which was posted on the Investor Relations section of our website just after the close of trading today. A link to the stockholder letter is also available on the Q3 earnings press release we issued today. Before we begin the Q&A portion of today's call, I'd like to quickly touch on a few items to provide some additional color on our business since we last spoke in August. The third quarter of 2020 was the best financial quarter in the history of the company. Our team delivered on revenues, gross margins and nearly every other internal metric that we chart. Revenues in July were better than June and each subsequent month continued to improve, resulting in total revenues in Q3 of $14.4 million a new record. We were also pleased that while we achieved record revenues, we also achieved 74% gross margins, a new record. We also had adjusted EBITDA of $3 million, another record. When compared to Q3 2019, I am proud of the $1.6 million of revenue growth and even more proud that during Q3 2020 versus Q3 2019, we also delivered a $2 million increase in gross profit. Continuing on with the efficiency theme, going forward we expect that each incremental dollar of revenue growth will yield an increasing percentage of operational earnings, thus improving our adjusted EBITDA and margins, a demonstration of what we like to call our financial escape velocity point. As we move into the fourth quarter and set our sights on 2021, we are hopeful or revenue trends, which currently looks V-shaped will quickly transition into a checkmark shape trend line into 2021. We believe this trend of growth will be driven by expanding our core business through new customer growth, continuing to expand with the many thousands of accounts we currently serve, exciting new product development in our pipeline and adding new revenue sources such as DEXYCU commissions and other potentially transformative initiatives we've been working on and hope to conclude in the coming quarters. In addition to the outstanding performance of ImprimisRx, other Harrow businesses also continued to hit new and major milestones and we expect to see more value inflection events in the coming quarterly periods. Importantly, once we complete the deconsolidation of Mayfield Pharmaceuticals, we intend to leverage our position in eyecare and from a strategic perspective, exclusively focus on investing in and developing eyecare-related healthcare assets. We believe this focus will better serve our stockholders. Now let's jump into the Q&A. I will pause to have our operator pull for questions. Operator?
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator instructions] We'll take our first question from Brooks O'Neil with Lake Street Capital Markets. Please go ahead.
Brooks O'Neil: Good afternoon, Mark and congratulations on the terrific results. I guess I'll stay with a couple questions. I think I saw in the letter a comment about October and how you foresee the trajectory continue and I was just -- I want to be sure I understand what you mean by that? Are you trying to say that we should see a better fourth quarter than third quarter or are you saying something different to that?
Mark Baum: Well, thanks for the question Brooks. No, I think what we're saying is that the months have since progressively gotten better in sequence in terms of revenue and that has continued into the fourth quarter and the month of October was a great month and November, which is very new month has also been strong. So, I don't want to make any projections specifically about the fourth quarter other than to say that business still remains strong.
Brooks O'Neil: That's great. That's very helpful. And then I love the focus on eyecare, but I'm just curious if you can elaborate a little bit about how you came to the decision to do that?
Mark Baum: To be clear, if you look at where we've been very successful operationally, our strength lies in eyecare. It has lied -- it has been eyecare for many years and I think that that's where we think we can drive the most value A lot of the work that we've been doing over the last year and a half or so strategically to grow the ImprimisRx business and transition that business from exclusively being a compounding pharmaceutical business to really being an ophthalmic pharmaceutical business has caused us to believe that we can create a tremendous amount of value if we just focus on eyecare and we have great relationships in that space and some exciting things that we hope to conclude here in the coming quarters as I said some of which could be transformative.
Brooks O'Neil: That's great. And then I'm just curious on this topic, I think you had good success in some non-ophthalmic areas. Do intend just kind of limit your focus or is there some way you can envision taking advantage of the development prowess you have outside of eyecare.
Mark Baum: Well certainly we see opportunities that are outside of eyecare. I think our board and shareholders that we've spoken to are really interested in our ability to build an eyecare business to take advantage of the relationships that we have. So that's where we're going to focus. We have had success outside of eyecare, I would say that building Eton was a great success so far, but I think our board and many of the shareholders we've spoken to are excited about the focus in eyecare and as I said based on what we have in the hopper, we're very excited about the eyecare business and the ability to grow the business and I think drive a lot of shareholder value in fairly term.
Brooks O'Neil: Sure, one last one and then I'll hop. I guess you don’t want to say a lot about transformative potential developments down the road, but can you say whether all the things you're working on right now relate to eyecare pharmaceutical products or are you thinking there might be good opportunities for the company if they go broader than pharmaceutical products?
Mark Baum: I don't want to comment on the specific products. I did say in the letter that we're focusing on eyecare goods and services. So it certainly may fall outside of making a bottle of eyedrops. We're really excited about our Visionology business for example and the potential for that business to grow. So we're going to stick with eyecare and that's an exciting area for us and we've got some really interesting things I hope to conclude and we're going to do a lot less talking, not that we do that much talking and a lot more doing. So we're going to convert this activity to economic accomplishment and we're going to focus on economic accomplishment in eyecare.
Brooks O'Neil: That's great. Congratulations. I love it, thank you very much.
Operator: [Operator instructions] We'll take our next question from Andrew D'Silva with B. Riley. Please go ahead.
Andrew D'Silva: Thank you very much for taking my questions. Congrats on the snapback, really surprised by getting to record levels. Sorry if you already answered this. I was on a different conference, but just to start, can you give us a little bit of color just on how the segment breakout looks or the quarter ophthalmology 503B versus A and other revenue things like that or do you have information related to compounded products versus FDA-approved product revenue that you recommend?
Mark Baum: Andrew, do you want to touch on that? Go ahead.
Andrew Boll: Hey Andy thanks for the question, I'll try to get all of them. In regards to the segment of revenue, we stop breaking out ophthalmology and ophthalmology revenue, but we did report $10.2 million in revenue out of our 503B facility during Q3, which company high. And then in regards to non-compounded sales, we had other revenues of $14,000, but $7,000 of that was related to the DEXYCU commissions 7,000 and licensing revenues.
Andrew D'Silva: Okay. Great. That's good to hear and as far as DEXYCU goes, I am assuming it was very back and waited as far as starting to actually roll out officially during the third quarter. Is it fair to assume that you’ve started to progress that eve more as we're into the fourth quarter now and then I remember we had a discussion related to the DEXYCU and just the pass-through status. Has there been any update on that potentially being able to be extended due to the pandemic?
Mark Baum: So we -- obviously there was an election here in the last couple of weeks and we assume that there will be some sort of stimulus that's what's up for discussion, it's bipartisan, by cameral I believe to extend pass-through in some way, shape or form, but there's no guarantee. We continue to believe that that will occur assuming there is some further stimulus. So I don't to speculate as to the overall outcome there, the final outcome, but we do believe that if there is stimulus, that will extend pass-through in one way or another. As far as DEXYCU sales go, there was a learning curve for our sales organization. There was a ramp. Obviously, we started with a very small number of accounts that we went out to actually went out to the top 57 accounts and we've made tremendous progress actually. What I'm excited about is that many of the largest Tri-Moxi customers, in fact the largest Tri-Moxi customers are now using DEXYCU. So we've made great progress there, made enough progress to cause the Eyepoint folks to ask us to open up our offering to a much larger segment of the overall Tri-Moxi customers about 60 or so days sooner than we had originally contracted to do. So we had enough success to where they got excited about what we were doing and we're excited about what we're doing and we think that as we get further into the fourth quarter and certainly in the next year, we're going to start to see revenues from DEXYCU sales commissions go up. So a real exciting part of our business, but we're also hopeful obviously to do some these other deals and continue to grow our portfolio of FDA approved products in due course.
Andrew D'Silva: Okay. Great. I'll take everything else offline. Thank you very much and best of luck closing out the year.
Operator: [Operator instructions] That appears to be all the questions that we have for today. I would like to turn the conference call back over to Mark L. Baum CEO of Harrow Health for any closing remarks.
Mark Baum: Thanks again for attending our call today and let's hope that our nation's recovery continues to flourish over the coming months and until then please stay healthy, happy and prosperous. If you have any investor-related questions, please email I are at Harrow ir@harrowinc.com. That's ir@harrowinc.com. This will conclude our call. Thank you.